Adam Rogers: Good afternoon, everyone. And thank you for joining us on our Fiscal 2022 Third Quarter Conference Call. I'm Adam Rogers, Senior Director of Investor Relations here at E2open. Our earnings release, SEC filings and a replay of today's call can be found in the Investor Relations section of our website at www.investors.e2open.com. Today's call will include recorded comments from our Chief Executive Officer, Michael Farlekas, followed by our Chief Financial Officer, Jarett Janik. And then, we'll open the call for a live Q&A session. If you have a question to ask, please chat me directly to be placed into the queue or use the Raise Hand function. As a reminder, our commentary today primarily will be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release. Before we begin, I'd like to remind everyone that during today's call, we’ll be making forward-looking statements regarding future events and financial performance, including guidance for full fiscal year 2022. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions. In particular, our expectations around the impact of the COVID-19 pandemic on our business, results of operations and financial condition and that of our customers are uncertain and subject to change. Should any of them materialize or our assumptions prove to be incorrect, actual Company results could differ materially from these forward-looking statements. A description of these risks, uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, including our Form S-1 and our most recent reports on Form 10-K and Form 10-Q. E2open cautions that these statements are not guarantees of future performance, and we undertake no obligation to revise our results or these forward-looking statements in light of new information or future events, except as may be required under applicable law. And with that, we'll begin by turning the call over to our CEO, Michael Farlekas.
Michael Farlekas: Thank you, Adam, and thank you all for taking time to join us for our third quarter fiscal '22 earnings call. As the world and major companies continue to grapple with supply chain challenges, E2open’s clients are increasingly recognizing the benefits of our supply chain operating platform, which solves the primary supply chain problem the world's enterprises face, which is the ability to operate their business as one end-to-end process on one collective network. We have much to be proud of this quarter, and I'll get to our impressive third quarter results shortly. I'm extremely proud that E2open is emerging as the leader in end-to-end supply chain solutions, and we add so much value to our clients in these challenging times. Last quarter, a record number of the S&P 500, 342 to be exact, mentioned supply chains during their earnings calls. I suspect that record may be broken again this quarter. While early indications are that 2021 holiday sales outperformed 2020 by a healthy margin, the cracks in many companies' supply chains have been exposed. It's no secret that supply outages, poor backlogs, labor shortages and escalating costs are causing companies to reevaluate and identify the disconnects in their supply, demand and logistics networks. What they generally find is that their system architecture was simply not built for how they operate today. The underlying technology managing their supply chain is mostly static and certainly not agile. It's mostly on-premise using customized legacy solutions. They're very siloed and disconnected internally. And as disconnected to a supply and partner base, they rely on to make and sell products. Most importantly, they lack complete, timely and accurate data they need to efficiently run their business. There is a tremendous opportunity to increase efficiency on a global scale. Improving efficiency always manifests itself to lower cost of goods, and lowering the cost of daily limit for everyone is our primary mission. We're having great, new logo momentum and overall sales success in both the number of transactions and size of transactions, in part, because the C-suite of these companies, our clients, recognize the problem and need to solve the supply chain problems holistically. While I'm not pleased that many supply chains are under stress, I am happy that E2open operates a global supply chain operating platform that has the most functionality and has the largest fully integrated network. This is exactly how large enterprises solve their very complex supply chain problems. We operate at scale as the end-to-end platform that connects our clients to their supply, demand and logistics networks. Our network supplies the data our clients need to operate more efficiently, improve their gross margins, which in the long run produces lower prices for everyone. When we spoke to investors over the last year, we described E2open as a unique company that has extremely durable and resilient revenue with multiple resilient growth levers. We have built this business to address an extremely large channel, to focus on the largest and best clients in the world and to create a differentiated platform built upon an extraordinary large and unique network. Our focus is on organic subscription growth because it is an extremely powerful lever for shareholders given our world-class unit economics and the very long-term nature of our subscription contracts. When we win new subscriptions, they produce well over our average gross margin on a contribution margin basis. And we intend to keep them for a very long time, years to decades. We are a highly cash-generative company with the compounding algorithm. E2open is at scale with highly durable revenue, world-class unit economics, world-class translation to free cash flow. We're growing at double digits, and that growth rate is increasing as we scale the business further. In addition, we have significant upside from a proven ability to acquire and integrate additional solutions to grow our platform. We have such high conviction in this profile because this is exactly what we have consistently done over the past seven years. Seven years ago, E2open was 7 times smaller, losing money and not growing. In each of the past seven years, our Company became larger, grew faster and became more profitable. Jarett will provide greater detail of our financial and operational gearing that enables this performance and why we believe this profile will continue well into the future. In the third quarter, our organic subscription revenue growth was over 11%. We are now 67% larger in subscription revenue than we were last Q3, where our subscription growth rate was 4%. Our organic growth rate is accelerating, and we are much larger than we were one year ago. This is not unexpected. This is the plan, and we expect to execute this very plan for the foreseeable future. Our confidence that fiscal 2023 will see an increased growth rate over fiscal 2022 is borne by the highly visible nature of our subscription revenue, which accounts for nearly 80% of our total revenue. The pipeline of profit opportunities continues to grow, even though we're realizing record bookings, and our close rates continue to improve. Allow me to provide some details regarding our Q3 performance. I am continually impressed by our team. Amidst the challenges of integrating our largest acquisition to date, we've had an exceptional third quarter, outperforming our plan and other key internal metrics. In Q3, we completely integrated our entire go-to-market organization with the BluJay team during the first month of our integration. We now sell, contract and deliver our solutions as one integrated company. We added over 1,000 new team members. It would be difficult to overstate the significance and speed of this integration. We're pleased to report that we ended the third quarter with strong results that positions us well for the balance of fiscal 2022 and very well for our fiscal 2023. In the third quarter, we generated $147 million in total non-GAAP revenue. In addition, we generated strong adjusted EBITDA results for the quarter of nearly $46 million. The organic growth rate of our subscription revenue for Q3 was 11.2%, and the overall organic growth rate for the quarter was 13.8%. Our focus is on subscription revenue growth. When we announced the BluJay transaction, we guided to a company that combined grew at a rate of 10%. That's the full year of E2open in Q3 and Q4 of BluJay on an apples-to-apples basis for the same measurement period. Given our performance in Q3, we are increasing our full year total revenue guidance and expect our full year organic revenue growth to now exceed 10%. Jarett will provide more details on this later in the call. We also articulated four growth levers to execute that we expect to materialize and expand our growth rate in fiscal 2023. We are performing ahead of schedule, and the translation of that execution is evident by our better-than-expected revenue performance. We’ll provide some more details for each of these four growth areas. New logo performance. We continue to ramp the sales and marketing teams assigned to new logo acquisition in both the U.S. and in Europe. We are pleased with the activity of this team. In fact, Q1, Q2 and again in Q3, we experienced an increase in the percentage of total bookings contributed by new global wins. In FY21, roughly 15% of new bookings were from new logos, and this percentage has increased each quarter and is now roughly 30%. New logos are important, not only for our current year performance but because so many times they start small and they scale large, and we have the ability to expand those relationships over the subsequent three to five years. Create new strategic partnerships. Our partnership strategy is continuing. In this quarter, we went live with our first two joint clients for the Maersk NeoNav solution. We are quickly scaling this operation and expect meaningful contribution from this program next year. And just this week, we added another partnership, this one with a company called PayCargo, where we expanded our capability in our containerized ocean freight booking platform to now include the actual payment of the transportation service and related fees. This expands our presence in the payments part of our logistics market, and we expect this revenue stream to increase in size over the next three years. Data and analytics. Our partnership with D&B continues to develop, which is our strategy to monetize the over 300,000 connected parties in our network. This quarter, we made significant progress in go-to-market enablement and new product innovation. We enabled the D&B sales team with a technical functional and go-to-market training to accelerate the monetization of our network, and we do this through their vast customer base. While still in early days, we believe this relationship has high potential to bring tremendous value to our clients as well as increase our organic subscription growth rate. Optimize pricing and packaging. Earlier in the year, we described our work to develop and launch new pricing models to simplify the buying process for our customers and respond to the increasing demand for solutions that span multiple product families. The combined impact of these changes has contributed to an increase of 150% of average transaction value for contracts that are over $100,000 in annual subscription. This is a comparison between this year's Q3 and last year's Q3 quarter on a pro forma basis. E2open's contract renewal uplift from price, scale and scope was 28% year-to-date through Q3 versus 14% for the same period last year. One big reason we are so excited about adding BluJay to our platform is that this measure for BluJay on a year-to-date basis through Q3 was only 4%. I'll now repeat that. E2open’s contract renewable uplift from price and scale and scope is 28% year-to-date through Q3 versus 14% last year. That same measure for BluJay alone was 4%. As we have said in more times than I'm sure you care to hear, acquisitions increase our subscription growth rate. We simply have more solutions and more clients to sell them to. All four of our growth levers are on track and delivering results more quickly than we had thought. Since we're a subscription-based company, these initiatives, while being executed this year and have begun to increase revenue, they will mostly show up as incremental revenue in our fiscal 2023. In terms of other highlights, we've added another platform transaction in Q3. For those new to the call, our platform transaction is one where the client has aligned with us to a large multiproduct implementation that will be deployed over time, generally years. In addition, on the product front, we launched Global Logistics Orchestration. This network-based solution has generated strong demand as it enables our customers to orchestrate materials and finished products across all of their network carriers and across all modes, regardless of those moves, is initiated by internal logistics teams or a third party logistics team or both. Our performance in the quarter was exceptional, given we not only completed our largest transaction to date but fully integrated our go-to-market organization within the first 30 days of the acquisition. Despite the natural noise and distraction of this rapid integration, we had a record Q3 for new contract bookings, our qualified pipeline grew, and we produced an organic growth rate of 13.8% overall, but most important, 11.2% for our subscription revenue. That revenue comes at world-class gross margins. Based on these highlights and how we see our business momentum continuing, we continue to believe our growth rate in FY23 will be in excess of our total growth rate for our current FY22. The growth rate we see for fiscal 2023 is underpinned by very strong bookings, pipeline growth and the yield on pipeline returning to pre-COVID levels. We have increasing conviction that our growth rate will be greater next year than it was this year, even though it will be over 60% larger. In summary, our third quarter was exceptional. We are excited about the multiple growth opportunities in front of us and remain focused on executing our initiatives. With that, I'll turn it over to Jarett to provide more detail regarding our financial results. Jarett?
Jarett Janik: Thank you. As Michael mentioned, we continue to be pleased with our performance this year and delivered another solid quarter. Today, I'll begin by expanding on Michael's comments on our long-term financial model, specifically how the growth drivers he previously noted provide us the ability to continue to deliver tremendous shareholder value. I'll then give an update on the BluJay integration, review our fiscal third quarter results and revisit our full year financial outlook. We'll start with the long-term financial model. We believe the following profile is sustainable for the foreseeable future. E2open is a company that will grow faster as it continues to scale. E2open's organic subscription growth rate is now over 11%, and we expect that growth rate to increase in fiscal '23. E2open's subscription revenue is expected to continue to be nearly 80% of our total revenue and will produce world-class gross margins. E2open is a company that produces mid to high-30s EBITDA margins with the realization of acquisition synergies. E2open is highly cash generative due to its low capital intensity of 5% to 6%. And E2open will further accelerate its scale, competitive differentiation, growth rate and profitability through continued strategic mergers and acquisitions. Revenue growth is a powerful tool to drive compounding shareholder value based on our financial and operational profile. We have both a high percentage of our revenue from subscriptions with the largest customers in the world and where we cherish very long-term customer relationships. Our top 100 customers have nearly a 15-year average tenure. Our highly stable revenue base converts to world-class gross margins, which can expand slightly as we accelerate our revenue growth. With our go-to-market organized around clients rather than products, we have a very efficient sales and marketing organization, which leads to a rich conversion of gross margin to adjusted EBITDA even though we invest a greater percentage of our revenue in our product than many of our competitors. We are highly cash generative with low capital requirements, mainly oriented around the hardware and software related to our data centers, a majority of which we operate through colo arrangements in concert with public cloud usage. The high degree of cash generation from our operations will be used to further increase the growth rate of our business and acquire additional strategically and financially accretive assets. E2open is a business that will compound annually given its extraordinary cash generation. This financial profile is sustainable for the foreseeable future. The opportunity to continue our acquisition strategy is immense and will provide another important avenue to increase value to our shareholders. We fully integrate the businesses we acquire. The acquired products become embedded into our platform quickly. This provides us with more products to sell to more customers. The go-to-market teams are fully integrated, typically in the first quarter or last. And the back-office teams are one team after the integration. We have a proven track record of successfully integrating acquisitions. With BluJay on the 12 acquisition over the past six years, we've overachieved our acquisition synergies on each individual acquisition and in total. And in each case, the combined business accelerated its growth rate beyond what it was prior to the acquisition. Let's move on to an update on the BluJay integration. We are deep into the execution phase of our integration of BluJay Solutions that closed on September 1, 2021. Total synergies related to the recent BluJay combination are projected to be $25 million annually. We expect to action between 60% and 70% of the run rate savings by the end of this fiscal year. Realized synergies are expected to be between 20% to 25% in the first six months of the transaction, finishing our fiscal 2022 and represent the portion of those action synergies that have been recognized in earnings during the period presented. We anticipate this metric moves to nearly 90% for fiscal 2023 with the remaining balance coming in 2024. Now, I'll talk about our results on a non-GAAP basis. We show a reconciliation to GAAP measures in the press release, which is available in the Investor Relations section of our website at e2open.com. We generated total revenue in the fiscal third quarter of $147.4 million, reflecting a total revenue growth rate of 13.8% on a pro forma basis. Broken down by reporting category, subscription revenue was $117.4 million, reflecting a subscription revenue growth rate of 11.2% on a pro forma basis. As Michael mentioned, our average subscription contract values continue to rise, and the contribution from our new logo efforts are beginning to impact our subscription revenue. Professional services revenue was $30 million during the quarter, reflecting a professional services revenue growth rate of 25.5% on a pro forma basis. The principal non-GAAP adjustments to revenue in the period are related to the amortization of the fair value adjustment to deferred revenue, resulting from the business combination in February 2021. The increase in subscription revenue was mainly due to new organic sales in prior periods across our customer portfolio. The increase in services revenue reflects a return to normal for our business as the prior year quarter was still impacted by delayed delivery of services due to the COVID-19 pandemic. Continuing down the income statement, our gross profit was $103.4 million in the fiscal third quarter, reflecting a 15.4% increase in gross profit on a pro forma basis. Our services margin during the quarter was positively impacted by certain onetime services revenue transactions. We expect our normalized services margin to be in the mid-30s. The increase in gross profit was primarily related to new subscription sales from the prior year, coupled with the return to normal of our services business and these onetime services revenues. Gross margin was 70.1% for the third quarter of fiscal 2022 compared to 69.2% in the comparable period in fiscal 2021. Our adjusted EBITDA was $45.9 million on a pro forma basis. The adjusted EBITDA margin decreased to 31.1% for the third quarter of fiscal 2022 as compared to EBITDA margin of 34.9% during third quarter of fiscal 2021 on a pro forma basis. The like-for-like comparison of the two periods on a normalized basis, adjusted EBITDA would have grown by 15% from a normalized 32.6% to a current period of 35.2%. For the third quarter 2021, the normalized adjusted EBITDA margin is 32.6% when adding back the public company costs that are embedded in our current fiscal third quarter but were not borne by the business in the prior year. The normalized adjusted EBITDA for our current third quarter is 35.2%. When integration costs and a true-up of our corporate incentive expense are considered, our annual bonus program, which the majority of our employees participate, is highly oriented towards achieving organic revenue growth and new sales, which drive tremendous shareholder value. We are over performing in both these areas. As a result, we added an additional accrual during the third quarter to cover all three quarters of the year-to-date period for fiscal 2022. Despite the additional bonus accrual, we expect to maintain our current guidance for EBITDA that I will describe next. Now, I'd like to finish by providing our non-GAAP guidance for the remainder of fiscal year 2022. For the full fiscal year 2022, we are raising our revenue guidance. We now expect total non-GAAP revenue to range from $474 million to $476 million, representing a 10.2% growth rate at the midpoint of that guidance. For a comparison, when we announced the BluJay transaction, we guided to a 9.6% pro forma growth rate for the year. We then raised our growth rate to 10% and now to 10.2%, evidence that our organic growth rate is accelerated. Adjusted EBITDA is expected to be between $161 million to $163 million. As I mentioned earlier, our full year earnings will be impacted by our bonus incentive program and includes duplicative costs related to the BluJay acquisition that have not been removed from our operating results. Excluding the bonus adjustment, the full year normalized adjusted EBITDA margin will be 35.2% at the midpoint of the guidance. Our non-GAAP gross profit margin is expected to be in the range of 70% to 72%. Finally, I want to mention that we intend to provide guidance for our fiscal year 2023 when we communicate our fourth quarter financial results. In summary, E2open posted its fourth consecutive strong quarter as a public company. Demand continues to grow for our solutions and products. We remain focused on executing our growth strategies to capitalize on the vast market opportunity that lies in front of us. With that, we would now like to take your questions. Adam, we're ready to begin the Q&A session after a brief pause.
A - Adam Rogers: All right. Thanks, Jarett. Please just give us a moment to turn our cameras on and get situated. And again, if you have any questions to ask, please chat me directly to be placed into the queue or use the Raise Hand function. Our first question today will come from Taylor McGinnis with UBS. Taylor, your line should be open.
Taylor McGinnis: Yes. Hi. Thanks so much for taking my questions. The first one is just on the revenue guide.
Adam Rogers: Hi, Taylor.
Taylor McGinnis: Yes. Hi, just on the revenue guide. So, I think when we -- based on what you guys have disclosed in the past, the new full year guide, it looks like the 4Q guide implies growth of up 12% in the high-end inclusive of BluJay, which is just slightly below the 14% that you guys just posted this past quarter. So, can you potentially provide more color on the assumptions embedded in that guide? And how that compares on an organic basis versus BluJay and maybe some of the mix between subscription and professional services, knowing that you're coming up against I think a tougher comp on the professional services side?
Jarett Janik: Yes. I think that's -- you've hit it right on the head, Taylor. As we go into Q4, we're getting into the not easy compare of COVID year versus non-COVID year. That's certainly a part of what is driving the projection in total at the $474 million to $476 million. Our fourth quarter also has, from a professional services perspective, a significant amount of holiday in it, given that it's inclusive of the Christmas and New Year holiday. But then also we have a large portion of our PS team that operates out of Asia, and it's also impacted in late January, February with the Chinese New Year. So, both of those are kind of what's driving a Q4 that will be a little slightly lower growth rate when compared to Q3.
Taylor McGinnis: Got it. That makes a lot of sense. And then my next question is just on -- in the prepared remarks, you spoke about new bookings being 30% of the mix and average enterprise new logo contract size more than doubling. So, can you just talk about what drove that? And how much of that was maybe coming from BluJay and if there was any like cross-sell in there? And then, as we think about the guide next -- or like the, I guess, high-level guide next year and for growth to accelerate, and it sounds like that coming from the booking strength, maybe you could just talk about what gives you comfort there and some of the things that you've seen more recently.
Michael Farlekas: Sure. Well, thanks for the question. And in terms of the cross-sells, we have a very little bit. It's -- we closed the transaction on September 1st. So, we wouldn't actually see -- expect to see much. We had a little bit. In terms of the bookings growth in terms of new logos, I think that's just more evidence of the team kicking in, and that's kicking in faster like we talked about last time than we had thought. So, we're really pleased with kind of how that's going. It also is because we're getting a little bit higher in the organization as the C-suite takes more care of their supply chains, and that really plays to our strength because we have a very broad functional footprint. And more and more, the C-suite is getting involved in saying, "Hey, we should look at maybe larger transactions taking on more functional areas with E2open." I think that's driving both our new logos and our size, where it's getting higher and we're doing larger transactions on it. So, that's all really going well. In terms of the mix, I'd say BluJay was not growing as fast as us previously. But I think as we get into the next two or three quarters, we'll be able to drive cross-sell/upsell. So, that gives us a lot of confidence. And in terms of next year's growth rate, it's really a function of this year's bookings and our pipeline. So, we're booking a lot, and our pipeline is growing in qualified deals. So those three things really give us a tremendous amount of confidence and conviction about what we talked about, which is growing faster next year than this year.
Jarett Janik: And Taylor, I'd just add to that. When you think about that growth, think about the subscription revenue growth because your point is very spot on. The services revenue growth will slow, part because of the easy compare to the year impacted with services from COVID. But then also as we implement the partner strategy and build a greater ecosystem of people, that will be helping us implement our software.
Adam Rogers: And our next question comes from Mark Schappel with Loop Capital. I think, you might be on mute, Mark.
Mark Schappel: Is that any better?
Michael Farlekas: There you go.
Mark Schappel: Okay, great. Thanks for taking my question. Nice job on the subscription revenue number. Michael, just starting off with you, I was wondering if you could give us some more details and provide additional details around the new partnership. I think it was PayCargo. It sounds like that partnership takes the company into the supply chain finance area.
Michael Farlekas: Yes. The company is called PayCargo, and PayCargo has a payments function that we will be embedding on our ocean bookings platform. So, as we've talked about previously, E2open books about 26%, 27% of the world's ocean freight every single day, so it's a key part of the global infrastructure. We're going to be adding this over the next several quarters. And what that means is companies can not only book their freight on our platform, but they can also facilitate the transaction payment flow as well. And I'd say, yes, we have long talked about thinking about how we can tie the third leg of the stool in terms of supply chain, physical supply chain, digital supply chain, financial supply chain. And this is kind of another step in this area. We do some of this today, and this is expanding this in a pretty material way. So, we're going to be happy here, and I'm super excited about the opportunity to kind of add this functionality to us. And like all of our partnerships, they add rev share on top. So, as they grow, we grow.
Mark Schappel: Great. And product-wise, where did you see particular strength in the quarter?
Michael Farlekas: Yes. Not surprisingly, we see a lot of strength in logistics and how logistics visibility cuts across all parts of the supply chain. So, what's unique about our platform is that we understand orders and we can link orders directly to where a container or a truck or air freight is. It's highly differentiated, and that's what the product GLO we talked about earlier, it really comes into play. So, that's a key differentiator for us, and we can do it in a unique way because, A, we have a network; and B, we have very broad functional capabilities. So, that area is certainly very strong. And then, demand sensing is always strong for us. That's a really key area for us and always has been.
Mark Schappel: Great. And I believe if I recall correctly, you hired a new CMO in the quarter. I was wondering if you could just give us a little bit of an update or a little debrief on what we can expect on the marketing front in the upcoming year.
Michael Farlekas: Yes. I mean, as we said, entering the public markets, we know we're at the stage now where we have to be more forthright in our marketing efforts. Kari joined us on September 1st, I believe. She's a fantastic marketer, and she's building her team out and laying out our plans. So, you'll see some things coming down the pipe, but we're super excited about kind of building our Company to the next phase. And it's all part of the plan. And so, we're really excited about the opportunity.
Adam Rogers: Our next question comes from Andrew Obin of Bank of America. Andrew, your line should be open.
Andrew Obin: Okay. Did I manage to unmute myself?
Michael Farlekas: Yes. Hi, Andrew.
Andrew Obin: Just before I go to my question, I just want to clarify the first question, sort of sequential slowdown next quarter, in fourth quarter. Just trying to understand, you cited a bunch of sort of seasonal factors, but wouldn't these factors be present a year ago, like Christmas?
Jarett Janik: Yes. So, they -- but also -- that's correct, Andrew. But also in the quarter a year ago, we were still getting back up to the full kind of capacity of our service delivery organization from the projects that had just kind of slowed down and the lack of bookings in the first part of the year. So, Q4 is closer to normal than Q3 was, which makes the year-over-year growth rate. It won't be 25.5% on the services line, which will drag the total growth rate quarter-to-quarter down, if that makes sense.
Michael Farlekas: Yes, I'd comment. The key for us is subscription revenue growth. And we expect, as we said, as we think about going into next year, that number is growing. The services revenue will always be there. It's an important part of our business. But our key focus was on subscription revenue growth. That's where we get the most leverage, and that has the most long-term effects. Our subscription contracts last a very long time. So, that's -- our key focus is in that area.
Andrew Obin: No, no. Just want to clarify. So, now my question. So, based on your commentary regarding the fact that logistics is outperforming, SaaS revenue growth was better than we were expecting. I think BluJay was expected to be in the mid-single-digit range. You did highlight that logistics were better. So, is it fair to say that BluJay is the source of outperformance?
Michael Farlekas: No. I wouldn't say that. I would say that our pipeline of E2open was boding greatly, and that continues. I think that their performance is a little bit better, but I wouldn't say it's because of the BluJay acquisition. I'd say, it's a mix, but I wouldn't put the growth there. I mean we've been growing our pipeline at closing revenue in the first two quarters at a great clip, and that shows up more in as the quarters go on.
Andrew Obin: Got you.
Jarett Janik: That's consistent with when we raised guidance at closing of the BluJay acquisition. We kind of showed a view of where both businesses were, and both businesses were outperforming what we really thought that each one of them individually would do earlier in the year, right at the time of the business combination.
Andrew Obin: Got you. No. Thanks so much. And any updates you can share on pricing initiatives and how you will be approaching renewals in '22 that have below average price?
Michael Farlekas: Yes. We continue -- I mean, we saw a tremendous uplift. I kind of quoted some statistics. And when we think about renewals, we get increased subscription from three areas: price, scope and scale. Scope is more product, scale is more of the same product and then obviously price. And we saw a very large uplift as we went into this year, and we expect that to continue. The big opportunity for us though is the BluJay contracts have come in and historically have been around 4%, and we're much higher than that. And it's really simple. All they have -- the lever they have is price, which is great, but we have -- now we have six other, seven other product families to offer their customers. So, we expect that to be a huge source of incremental growth on top of their renewal. So, it will be -- our program being executed, which is going very well, on top of the renewals we get from BluJay, and that's what we're most excited about. That's really why acquisitions are powerful for us. They help us grow faster, and we become more profitable at the same time.
Andrew Obin: Yes. And I'll squeeze one more in. We know your salespeople deeply embedded at large clients. So, how are the conversations around '22 budgets and opportunities going versus a year ago? I mean, you sort of alluded to the fact that things are looking up, but just maybe a little bit more granularity.
Michael Farlekas: Yes. No. I mean, the pipeline continues to grow. That's where it shows up for us, right? So, before you have a signed contract, you have an opportunity in the pipeline. We measure that really carefully. And we're seeing our transaction size increasing, and we're seeing our pipeline growing. And our yield on our pipeline, and we measure it every quarter the same way, is returning and is really darn close to where was pre-COVID. So, there's a lot of interest in supply chain. We're getting higher in organizations. That's showing up in pipeline, showing up in number of deals and show up in size deals. That's what's driving our revenue growth exceeding 11% this quarter. And as we said, we expect next year to be growing faster than we are this year.
Jarett Janik: And Andrew -- that's an important point, Andrew, because we're also close winning more deals than ever before to reduce the pipeline each quarter. And yet quarter-over-quarter, it's sequentially getting bigger and bigger, even though we're taking more out of it as new business.
Adam Rogers: And that was our final question today. So, that concludes our call this afternoon. Thank you everybody for attending.
Michael Farlekas: Thank you.
Jarett Janik: Yes. Thanks, everybody.